Operator: Welcome to the Community Bank System Fourth Quarter and Full Year 2022 Earnings Conference Call. Please note that this presentation contains forward-looking statements within the provisions of the Private Securities Litigation Reform Act of 1995 that are based on current expectations, estimates and projections about the industry, markets and economic environment in which the company operates. Such statements involve risk and uncertainties that could cause actual results to differ materially from the results discussed in these statements. These risks are detailed in the company's Annual Report and Form 10-K filed with the Securities and Exchange Commission. [Operator Instructions] Please also note that this call is being recorded today. Today's call presenters are Mark Tryniski, President and Chief Executive Officer; and Joseph Sutaris, Executive Vice President and Chief Financial Officer. They will also be joined by Dimitar Karaivanov, Executive Vice President and Chief Operating Officer for the question-and-answer session. Gentlemen, you may begin the call.
Mark Tryniski: Thank you Joe. Good morning everyone and thank you for joining our year-end conference call. We hope everyone is well. Earnings for the quarter were very good, infact our best quarter ever ex-reserve releases last year. We reported record revenues, record PPNR and record GAAP EPS ex acquisition expenses. Loan growth was very strong across all our portfolio up 12% annualized over the third quarter and the deposit base remains sound with respect to retention and rate. Joe will comment further on the quarter, but it was a good one. Looking at the whole of 2022, we likewise had a record year not just financially but for our commercial mortgage and instalment lending businesses as well. Investments we made over the past 18 months particularly in our commercial and mortgage businesses have proven fruitful. The commercial business grew organically 18% in 2022, the mortgage business was up 7% and the instalment grew at 28%. Our non-banking businesses also had significant organic growth but were negatively impacted by the market declines with the exception of OneGroup our insurance business whose revenues were up 17%. Our wealth business which is entirely levered to the market was only down 4% against the market that was down 19.5% and our Benefits business which is about half levered to the market actually grew 1%. So these businesses had a fabulous year, despite the market and at this point, are a coiled spring for the future. Looking ahead to the remainder of the year, we expect to execute well across all of our businesses, a significant focus will be on funding. We have $800 million of overnight borrowings, which is not ideally where we want to be when we also have $5 billion in lower yielding securities. So we have some thoughts on dressing that going forward into 2023. And beyond some of which Joe will touch on further. We'll continue to invest in digital and rationalize analog as we did this past year with a consolidation of 12 retail branches, bringing the total over the past three years to 15% of our total net worth. Excluding acquisitions, we have fewer FTEs than we did in 2021. We implemented new commercial and cash management platforms. Our operations teams are working to implement workflow automation that is expected to save up to 60,000 hours of manual effort. So we are focused across the company on technology solutions for our customers and for our operating efficiency. Lastly, and most important, we have the best talent this company has ever had and so we'll continue to get better and everything we do. Particularly as we also now have the products technology and service capacity to compete very effectively with the larger banks across our markets. This has created significant new organic market opportunity for us that we have not previously possessed. In summary, it was a great quarter. It was a great year. We're exceptionally well positioned, and we look forward to 2023. Joe?
Joseph Sutaris: Thank you, Mark. And good morning everyone. As Mark noted, the company's fourth quarter earnings results were solid with fully diluted GAAP earnings per share of $0.97 and fully diluted operating earnings per share of $0.96. GAAP earnings per share were up $0.17 or 21.3% over the fourth quarter of 2021, while operating earnings per share were up $0.15, or 18.5% over the same period. The improvement in operating results was largely driven by a significant improvement in the company's net interest income and a decrease in weighted average shares outstanding between the periods offset in part by a small decrease in non-interest revenues and increases in operating expenses the provision for credit losses and income taxes. On a full year basis, fully diluted GAAP earnings per share were down $0.02 per share or less than 1% while operating earnings per share were up $0.09, or 2.6% despite a $23.6 million, or $0.34 per share increase in the provision for credit losses, and a $15.4 million or $0.22 per share, decrease in PPP related revenues. Adjusted pretax pre-provision net revenue or adjusted PPNR per share, which excludes from net income the provision for credit losses acquisition related expenses, other non-operating revenues and expenses and income taxes was $1.29 in the fourth quarter of 2022 up $0.20 or 18.3% over the prior year's fourth quarter. Adjusted PPNR per share was also up $0.04 or 3.2% over the linked third quarter result of $1.25. On a full year basis, adjusted pretax pre-provision and revenue was up $0.50 or 11.7% from $4.28 in 2021 to $4.78 in 2022. The Company recorded total revenues of $175.9 million in the fourth quarter of 2022. This was up $16.3 million or 10.2% over the prior years fourth quarter and established a new quarterly record for the company. Net interest income increased $16.5 million or 17.2% over the prior year’s fourth quarter due to market interest related tailwinds, strong loan growth and investment security purchases between the periods while non-interest revenues decreased $0.2 million or 0.4%. The company's average interest earning assets increased $905.5 million or 6.5%, while the tax net interest margin increased 28 basis points from 2.74% in the fourth quarter of 2021 to 3.02% in the fourth quarter of 2022. Net interest income was also up $1.8 million, or 1.7% over the linked third quarter results while the tax equivalent net interest margin decreased one basis point. Although interest expense was up $8.8 million over the prior year's fourth quarter, the company's average cost of funds was up just 24 basis points from nine basis points in the fourth quarter of 2021 to 33 basis points in the fourth quarter of 2022, given a 425 basis point cycle to date increase in the federal funds rate. This represents a total funding beta of 6%. Similarly, the company's average cost of deposits for the quarter remain low at 18 basis points representing a cycle to date deposit date of 2%. The $0.2 million 0.4% decrease in non-interest revenues between the comparable annual quarters was driven by a $2.6 million or 5.6% decrease in the financial services, business revenues offset and in part by $2.4 million or 14.5% increase in banking management's revenues. Despite organic customer growth in 2022, Employee Benefits Services revenues were down $1.4 million or 4.5% due to a decrease in asset-based employee benefit trust and custodial fees. Wealth Management Insurance Services revenues were down $1.2 million or 7.5% due to primarily the challenging investment market conditions. The increase in banking non-interest revenues was driven by an increase in deposit service fees. The company recorded $2.8 million in the provision for credit losses in the fourth quarter reflective of strong loan growth and a weaker economic forecast. This compares to a $2.2 million provision for credit losses recorded in the fourth quarter of 2021. On a full year basis the company reported $14.8 million in the provision for credit losses reflective of $1.44 billion of loan growth in 2022, the Elmira Savings Bank acquisition and weaker economic forecasts. By comparison, the company reported an $8.8 million net benefit in the provision for credit losses in 2021 due to an improving economic outlook as the country rebounded from the pandemic. The Company recorded $105.9 million in total operating expenses in the fourth quarter of 2022, compared to $100.9 million in total operating expenses in the prior year’s fourth quarter. The $4.9 million 4.9% increase in operating expenses was driven by increases in salaries, employee benefits, data processing, communication expenses, occupancy and equipment expenses and other expenses offset in part by lower acquisition related expenses. The $1 million 1.6% increase in salaries and employee benefits expenses driven by increases in merit related employee wages, acquisition related additions to staff and higher payroll taxes, offset in part by lower incentive compensation and employee benefit related expenses. The $0.8 million 5.9% increase in data processing communication expenses with the company's continued investment in customer facing and back office digital technologies between the comparable periods. Occupancy and equipment expense increased $0.9 million, or 8.9% due to inflationary pressures the Elmira Acquisition in the second quarter of 2022 offset in part by branch consolidation activities between the periods. Other expenses were up $3.4 million, or 31.7% due to the acquisitions and general increase in the level of business activities between the periods including business development, marketing expenses and travel related expenses. In comparison, the company reported $108.2 million of total operating expenses in the third quarter of 2022. The $2.3 million 2.2% sequential decrease in quarterly operating expenses was largely attributable to a $2.1 million decrease in salaries and employee benefits. The effective tax rate for the fourth quarter of 2022 was 22%. The company's average earnings and assets increased $905.5 million or 6.5% over the prior year, from $13.96 billion in the fourth quarter of 2021 to $14.87 billion in the fourth quarter of 2022. This included a $1.29 billion or 26.5% increase in the average book value of the investment securities and a $1.41 billion or 19.3% increase in average loans outstanding partially offset by $1.79 billion decrease in average cash equivalents. Average deposit balances were up $348.4 million, or 2.7% over the same period, which included $522.3 million of deposits acquired in the Elmira Acquisition. On a linked-quarter basis, average earning assets increased $254.6 million or 1.7%, while average deposits decreased $154.4 million or 1.2%. Ending loans increased $265.8 million or 3.1% during the fourth quarter and $1.44 billion, or 19.5% over the prior 12-month period. Exclusive of $437 million of loans acquired in connection with the second quarter acquisition of Elmira, ending loans outstanding increased $998.7 million or 13.5% over the prior 12-month period. During the fourth quarter, the company originated almost $560 million of new loans at a weighted average rate of just under 6%. Comparatively the book yield on the company's loan portfolio was 4.39% during the fourth quarter. Asset quality remains strong in the fourth quarter at December 31, 2022 non-performing loans were $33.4 million, or 0.38% of total loans outstanding. This compares to $32.5 million, or 0.38% of total loans outstanding at the end of the linked quarter 2022 and $45.5 million, or 0.62% of total loans outstanding one year earlier. The decrease in non-performing loans as compared to the prior year's fourth quarter was primarily due to the reclassification of certain pandemic impact that hotel loans from nonaccrual status back to accruing status. Loans 30 to 89 days delinquent were 0.51% of total loans outstanding at December 31, 2022, up from 33 basis points at the end of the third quarter of 2022 and 38 basis points one year earlier. The company recorded $3.3 million or 4 basis points annualized of net charge-offs during 2022. The company's regulatory capital ratios remain strong in the fourth quarter, the company's tier one leverage ratio was 8.79%, which significantly exceeded the well capitalized regulatory standard of 5%. In addition, the company's net tangible equity and net tangible assets ratio increased 56 basis points during the quarter from 4.08% at the end of the third quarter to 4.64% at the end of the fourth quarter. During the fourth quarter, the company reclassified certain U.S. Treasury securities with a book value of $1.42 billion and a market value of $1.08 billion from its available for sale investment securities portfolio to its held to maturity investment securities portfolio, while the reclassification has no economic earnings or regulatory impact, enables the company to be more to more effectively manage overall capital levels if interest rates rise above year-end levels in the coming quarters. The company continues to maintain a strong liquidity profile, the combination of the company's cash and cash equivalents borrowing capacity at the Federal Reserve Bank, borrowing availability at the Federal Home Loan Bank and unpledged investment securities provided the company with approximately $4.9 billion of immediately available source of liquidity at the end of the fourth quarter. The company's loan to deposit ratio at the end of the fourth quarter was 67.7% providing future opportunity to migrate lower yield investment security balances into higher yield loans. During 2023 the company anticipates receiving over $600 million of investment security principal cash flows to support its funding needs. Looking forward, we are encouraged by the momentum in our business; the company generates strong organic loan growth over the prior six quarters. Asset quality remains solid. In addition, new business opportunities in the financial services businesses remain strong. In 2023 we remain focused on new loan generation managing the company's funding strategies in a rapidly changing interest rate environment while continuing to pursue accretive low risk and strategically valuable merger and acquisition opportunities. Thank you. Now I'll turn it back to Joe to open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question here will come from Alex Twerdahl with Piper Sandler. Please go ahead.
Alex Twerdahl: Good morning, guys.
Mark Tryniski: Good morning Al.
Alex Twerdahl: First off, just wanted to ask about, what you guys are seeing, or maybe expect to see over the next couple of months with respect to deposits. I know the first quarter typically see some inflows from municipal deposits. I'm just curious if you're expecting similar levels to what we saw last year. And kind of if you have any sort of line in sight line of sight, on to other expected deposit flows, so we can sort of manage expectations for that relative to borrowings along with etcetera.
Dimitar Karaivanov: Sure, Alex, it's Dimitar. You’re right. Typically in the first quarter, we get some seasonal inflows in our deposit base. It's usually a couple of 100 million bucks. With that said, I think we're kind of in an unprecedented time on the funding side. And we started seeing that kind of late in the summer, early in the fourth quarter and it's accelerated I think for everybody in the industry. When you're Europe as the Federal Reserve with an infinite balance sheet who has decided to take out liquidity, we all got to take notice of that. So with that said, I think I'm not sure we're going to be netting up in the first quarter we hope we will. But we're putting in place our strategists to make sure that we are able to manage our funding. So as we sit here today, I would personally probably bet on, closer to flat and up in terms of our deposit base.
Alex Twerdahl: Okay, and then within the deposit base in the last tightening cycle, you guys did a spectacular job of keeping your cost of deposits lower, I'm just curious if there's a change in customer mentality, just given how quickly rates have risen. And I think certainly many of us have, have noticed it, and they're doing it in our personal accounts. I'm just curious if how we should think about the deposit costs and you sort of the customer behavior that you guys are seeing over the next couple of quarters?
Joseph Sutaris: Alex, this is Joe. I would just say that, when you look at our composition of our deposit base, about 75%, of our deposit base is in deposits that are not typically rate sensitive. That's not to suggest that, some of that some of those funds could not be drawn out into higher yielding type assets. But, relative to the rest of the industry, I think that our, our deposit bases is, is very core, but there's kind of a larger sort of picture here with respect to what Dimitar referenced on, on the Fed, and what's happening to the money supply. But generally speaking, I think, we’ll outperform but yes, I would expect that our funding, beta will increase over the next couple of quarters. There's always a bit of a delay between the Fed changes, and then ultimately changes in the funding costs for financial institutions, including us. In some of the rate moves that the Fed made, we're in, in in the fourth quarter. And, those fully haven't been haven't been fully baked into all of the financial institutions costs of funds. So I think there will be some increase in the funding beta over the over the coming quarters.
Alex Twerdahl: Got it? Sorry, go on.
Mark Tryniski: No, it's Mark. The only thing I would add, just as it relates to funding overall, in the first quarter of the first half of the year, we'll have $400 million or $500 million of the securities portfolio maturing at fairly low yields, which we will likely use to pay down our overnight borrowings with a probably 300 basis point delta on costs. So just so -- that's reasonably significant in the context of what the funding side of our balance sheet will look like, headed here over the next two quarters.
Alex Twerdahl: Okay. And then I think in your prepared remarks, Mark, or maybe Joe, you talked about managing the company's funding strategies, is that what you're referring to as if the 600 million of securities that are coming due?
Joseph Sutaris: Yes, I think there's there's two pieces, which is that the maturing securities, but also just generally trying to be strategic in terms of identifying markets where, where we can pick up deposits.
Mark Tryniski: It's really deposit strategies. We've got $5 billion of securities. Are there any strategies around that, which makes sense for us to think about? So there's, there's a number of elements to our thought process around funding strategies here, which we're thinking about.
Alex Twerdahl: Okay. And then just the other question that I had is, you guys talked about deteriorating economic or macroeconomic outlook, yet the ACL dropped by 2 basis points. I was hoping maybe you could just put that into context and explain the moving parts of the ACL and why it actually declined, given, given the commentary that the macro outlook is deteriorating.
Joseph Sutaris: Yes, Alex, this is Joe. I can, I can take that question. So there's a couple of components in our CECL model. One is kind of the loss history. The other is the economic outlook, which we refer to in the press release. The third piece is also what's been trending internally in terms of non-performing assets. And classified and criticized assets and delinquency and we tend to look at kind of a four quarter trailing average on those non-economic qualitative factors, simply to smooth out if you will, any sort of seasonal aspects around the portfolio, and effectively as we rolled the quote, quarter forward, those four quarter trailing metrics improved. We dropped effectively the fourth quarter of 2021 whether a little higher NPAs and risk ratings were a little bit a little bit higher on the classified in criticized and effectively that improved. So that was the offset to the economic outlook.
Alex Twerdahl: Thank you for taking my questions.
Joseph Sutaris: Thanks Alex.
Operator: And our next question will come from Manuel Navas with D. A. Davidson. Please go ahead.
Unidentified Analyst: Good morning, gentlemen. My name is Mark [Indiscernible] filling in for Manuel. I have a few questions to ask. What are your loan growth expectations for next year? And in terms of mix, would it be more commercial weighted, just wanted some color on that?
Dimitar Karaivanov: It's Dimitar. So I think we've been talking about mid-single digit growth rate for our business, kind of on a go-forward basis, which is higher for us than historical averages because of all the investments and the retooling of the company in a way. Clearly, it's going to be a slower economic environmental, that's the expectation at least. So maybe we're a tad below mid-single digits rather than a tad up. But we're still kind of in that probably 4% to 6% range expectation in terms of loan growth. As it relates to mix, right now, the commercial pipeline is pretty good. The car business is doing well. Mortgages are slowing down the same way with everybody else. So, we've been kind of running at a 50:50 mix in general. Maybe it's a little bit more commercial this year. But that's a very early guess. So, it could easily be kind of 50:50.
Unidentified Analyst: Thank you for that. And in terms of NIM trajectory near term, given there’s pressures on funding, what's your Outlook going forward?
Joseph Sutaris: So we did flatten a bit in Q4 versus Q3, however, the net interest income didn't increase, which is kind of in line with our, with our expectations. When we talked on the third quarter conference call, however we look forward, I think in the in the first quarter, you could see potentially us go a bit backwards in terms of the NIM just because of the increase in funding costs. And on NII, we potentially go backwards. We lose effectively 2 days of net interest income on a short, shorter quarter in the first quarter. With that said, as Mark was referring to in the in the second quarter, we start to see some significant cash flows off the securities portfolio. And so the expectation, then we would also typically have some seasonal loan growth, kicking in the second quarter. So based on what we can see now, assuming, funding is somewhat stabilized, we would expect some, some expansion and kind of through the second and third quarters of next year, and obviously, the fourth quarters away is a ways out, but the expectations are we see increasing net interest income, kind of in the back half of the year.
Unidentified Analyst: Thanks for that. One last question and then I'll hand it over. You're talking about the securities books, what is the duration of the security books at the end of the quarter? And does that timeframe correlate with the recapture of AOCI?
Joseph Sutaris: Yes, so the duration is just under 7 years on a combined basis when you look at the Federal Securities portfolio, which is kind of in line with where it was. We talked about it in the in the prior quarter. And what was the -- I'm sorry, the second part of the question?
Unidentified Analyst: Does that timeframe correlate with the recapture of AOCI?
Joseph Sutaris: Yes, to an extent if I'm if I'm following the question, but in fact, what we did when we reclassified the securities, that they are roughly billion dollars in market value of securities into HTM is really to reduce volatility, if you will, around our tangible equity and tangible book value. We also have about $1 billion, $1.3 billion in municipal deposits that require pledging, require securities. And so we're effectively required to hold securities for a long period of time to secure those deposits and, in effect, the amounts that we reclassified are similar to the amount of that we typically carry their municipal securities.
Dimitar Karaivanov: Yes. And maybe if it’s helpful, just to add to that, the duration of the AFS portfolio today is just about 5 years, which is what we're going to predominantly use for our balance sheet, remixing going forward as we transition from securities into loans. So we've got those 5 year duration cash flows and believe about 4 billion of securities in that bucket.
Unidentified Analyst: Okay, thank you for that.
Operator: And our next question will come from Matthew Breese with Stevens. Please go ahead.
Matthew Breese: Good morning. I wanted to continue on the securities discussion. You had mentioned that you expect I think, $400 million to $500 million of securities maturing in the first half of the year. What does that schedule look like for the back half of the year? And could you give us some frame of reference for on that mix shift over the next call it, 12 to 24 months where you want to bring that securities portfolio down to as a percentage of assets?
Joseph Sutaris: Yes. Well, Matt, this is Joe. So the the expectations for the full year on the securities is about $600 million. We just have to have a significant amount of that about $350 million or so coming off kind of in the middle of the second, second quarter, $400 million in the first half of the year. But the totals about $600 million in the full year. I think over time, we certainly would like to see our transition from a securities largely, securities, concentrated, average earning assets base to one of loans. I think we now have the organic growth components that we need, we tooled up and so over time, we'd like to see that roughly $5 million portfolio to move down to on a relative basis to move down. We'd like to see a loan-to-deposit ratio that trends up. Right now, I think about 67%, ideally, we’d be down more balanced at 75% to 80% loan-to-deposit ratio. So I think that will just trend over time and you'll see kind of on a relative basis the securities book drop.
Matthew Breese: Okay. Understood. And how much of the securities portfolio is unencumbered or tied to municipal deposits where you have to keep some portion in securities?
Joseph Sutaris: Yes. Just bear with me one second, Matt I have those numbers here.
Matthew Breese: Would you like me to go on while you look for that?
Joseph Sutaris: Yes. Go ahead, Matt. I actually have those available to take them out.
Matthew Breese: Perfect. So just would love a sense for indirect auto. Obviously, there's a lot of just inbound questions and scuttle around, you know, deteriorating consumer health. Could you just remind us of FICOs there and whether or not you're seeing any sort of deterioration underneath the hood part and the pond?
Dimitar Karaivanov: Sure. Matt this is Dimitar. So our portfolio on the car businesses average FICO of 750, roughly. And that's where the originations continue to be -- we're writing business now, kind of in the 7% range, on a gross basis. So that's kind of six net. So it's still pretty good business. We have seen in terms of credit, normalization, I would call it still I would call it normalization towards the lower end of the historical averages. So we've been averaging losses, they're kind of between 25 and 35 basis points, historically, we're kind of right. But about the lower end of that. Again the FICOs are very strong. Debt to income of the portfolio and originations is 27%. So, we feel pretty good about the credit profile. I think as we've disclosed previously 80% is used cars, our loan to value are less than the average for the industry. We write based on actual dealer invoice not based on the inflated sometimes markups that we've seen over the past couple of years. So we feel pretty good about that. We’re going to normalize a little bit more towards the midpoint of the 25 to 30 basis points, 35 basis points and losses probably is still great business and the rates we're writing it, yes, it is. So that's kind of how we look at it right now.
Matthew Breese: Okay, understood. Thank you. Next one was just in regards to fee income Joe. I'm sorry, Mark. I think you had mentioned that there's some new business opportunities within financial services. So I was curious, wholesale just kind of thoughts on fee income in 2023 more specific commentary on employee benefits, wealth insurance. And then for those opportunities, just curious what you meant in terms of -- is there a more robust pipeline in terms of deals or organic opportunities that you could talk about?
Mark Tryniski: Yes, I'll just kind of brief and let Dimitar jump into it further. But if you look at the summary financial results, it doesn't look like those businesses had a tremendous year with the exception of insurance. As I said, that was up 17% in revenues. The wealth business was down a little bit against a market that's down almost 20%. The benefits business, which is half lever to the market, as I said, was up, even though the market was down 20%. So the organic performance of those businesses in 2022, might have been the best year we've ever had. They all grew organically, and some of them grew a lot. But it got clouded by the market, because they're on different levels levered to the market. So there's a lot of momentum in those businesses right now, which I think is going to continue. And I'll let Dimitar provide any further commentary he might want to add to that.
Dimitar Karaivanov: I think that's pretty good summary. I would just say if you kind of think about historical growth rates in those businesses in the high single digits. If the market recovers, we feel very confident we're going to get there. If the markets kind of stays where it is, we think we're still going to have a pretty decent year might not be high single digits, but low to mid single digits is definitely achievable. Because again, we put on a lot of a lot of new units and clients, especially in the second half of the year, and we did not get the benefit of most of those. So we feel pretty good about the outlook, barring the market going down another 20%.
Matthew Breese: Got it.
Joseph Sutaris: Matt, this is Joe. With respect to your prior question about unplugged [Ph] securities about $3.2 billion at the end of the year. We also have, you know, a blanket availability at the Federal Home Loan Bank that's secured by our mortgage portfolio, which is about another $1.1 billion. And then we also have some securities pledged at the FRV, which creates another $500 million. So that's how we get to kind of $4.9 million, but $3.2 million of which is the unplugged [Ph]?
Matthew Breese: Got it. Okay. Last one was, I saw this the calculated tangible book value in the earnings release a bit higher. And the one component I don't have is the deferred tax liability. So I was curious what that updated balance was and if there was any meaningful change quarter-over-quarter?
Joseph Sutaris: So I'll break it down at the end of the end of the year, Matt. So, on a book, book value basis, the available for sale securities portfolio, about $4.7 billion, about $500 million of market value adjustment for about 4.2, is kind of the carrying value. And the held-to-maturity portfolio, about $1.1 billion. At the time, we did the transfer -- excuse me, the book value is about $1.42 billion. There's about $340 million effectively in gross market value adjustment on that held-to-maturity portfolio, and about 24% or 25% of that is effectively in a deferred tax asset of about $80 million. So leaving behind effectively net AOCI of about $250 million.
Matthew Breese: Got it. Okay. That's all I had. Thank you so much.
Joseph Sutaris: Thank you.
Operator: Our next question will come from Chris O'Connell with KBW. Please go ahead.
Chris O'Connell: Hey, good morning. I may have missed it in the opening comments, but was there any commentary regarding the overall expense outlook for 2023? And I guess if not, can you guys talk a little bit about that?
Joseph Sutaris: Yes, Chris, we we've had -- this is Joe. We had a history of kind of low single digits, call it 3% on operating expense increases year-over-year. Obviously the market has changed. There's been you know, stronger, kind of call it wage-related inflation and other inflationary elements that do make their way into our expense base or operating expense base. So we kind of think that mid-single digits is a more realistic expectation excluding acquisitions on a going-forward basis, just because of those kinds of wage and other sort of inflationary pressures. With that said, Mark alluded to, in his comments, all of the back office type efficiencies that we're investing in. That will take a while for that to kick in to really get the efficiencies from all of those automation activities in the back office. So on a more of a kind of shorter term basis, we think, mid-single digits, but our efforts here are to kind of control those operating expenses on a longer term basis through automation and efficiency.
Chris O'Connell: Got it. That’s helpful. And circling back to some of the deposit discussion from earlier. I think if I read your commentary, right, near term expectations, we're for deposits to remain, somewhat flat versus up. Is that inclusive of the muni flows? Or do you expect kind of ex the municipal deposit fluctuations that there could still be some downward pressure in the near term on the overall deposits.
Dimitar Karaivanov: Chris, this is Dimitar. I think we would expect them the first quarter to be net up on municipal deposits and net down personal deposits, and commercial deposits. Where that ultimately ends up on a net basis is, is a guess. Funding is the biggest question for everybody this year. So we don't know, we're planning for certainly lower than historical experience on the deposit side, probably lower than some of our bottom quartile experience, frankly, if you look over 10 years, where we've been. So with that in mind, hence the comment that historically, we would have been up in the first quarter and this quarter we’re unlikely to be up as we sit here today.
Chris O'Connell: Great. That's all I had for now. Thanks for taking my questions.
Dimitar Karaivanov: Thank you, Chris.
Operator: [Operator Instructions] Our next question here will come from Erik Zwick with The Hovde [ph] Group. Please go ahead.
Erik Zwick: Hey, good morning, guys.
Joseph Sutaris: Good morning.
Erik Zwick: Just one more topic here on my list that wasn't discussed in earlier questions or comments, Just looking at the tax rates, my notes are right from last year, about a year ago, you're expecting a tax rate of kind of 22.5% to 23.5%. It looks like you came in below that this year. So one first question, just curious if you utilize any kind of tax strategies throughout the year that brought it in lower the mix of revenue was just different. And the second part of the question would be, what's a good expectation for 2023 at this point?
Joseph Sutaris: Yes. Chris, excuse me. Erik, with respect to on a going-forward basis, I still think that, plus or minus a half a point around 22% is probably a reasonable expectation as we as we look ahead. We do occasionally buy tax credits and other items that are helpful for the overall rate, and we do have a municipal securities booked municipal loans that keep the effective tax rate down a bit. So, I wouldn't expect much change over 2023 or really the future where our current tax rate unless there's a change in the tax code.
Erik Zwick: Great. Thanks. I appreciate it. That's all for me.
Operator: With no remaining questions, this will conclude our question-and-answer session. I'd like to turn the conference back over to Mr. Tryniski for any closing remarks.
Mark Tryniski: Thank you, Joe. Thanks, everyone for joining the call and we will talk to you again after the end of the first quarter. Thank you.
Operator: The conference has now concluded Thank you very much for attending today's presentation. You may now disconnect your lines.